Operator: Good day, everyone. And welcome to the Iteris’ 2017 Fiscal Second Quarter Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the call over to Mr. Todd Kehrli of the MKR Group. Please go ahead.
Todd Kehrli: Thank you, operator. Good afternoon, everyone. And thank you for participating in today's conference call to discuss Iteris' financial results for its 2017 fiscal second quarter ended September 30, 2016. Joining us today are Iteris', President and CEO, Mr. Joe Bergera; and the Company's CFO, Mr. Andy Schmidt. Following their remarks, we will open the call for your questions. Before we continue, we would like to remind all participants that during the course of this call, we may make forward-looking statements regarding future events or the future performance of the Company with statements are based on current information, are subject to change and are not guarantees of future performance. Iteris is not undertaking an obligation to provide updates to these forward-looking statements in the future. Actual results may differ substantially from what is discussed today and no one should assume that at a later date the Company's comments from today will still be valid. Iteris refers you to the documents that the Company files from time-to-time with the SEC, specifically the Company's most recent Forms 10-K, 10-Q and 8-K, which contain and identify important risk factors that could cause actual results to differ materially from those that are contained in any of the forward-looking statements. I would like to remind everyone that a webcast replay of today's call will be available after 7.30 PM Eastern Standard Time today November 9 through November 23, 2016 via the Investor Relations section of the Company's website at www.iteris.com. Now I would like to turn the call over to Iteris' President and CEO, Mr. Joe Bergera. Please go ahead.
Joseph Bergera: Great. Thank you, Todd, and good afternoon, everyone. Thank you for joining us today. As you saw at the close of market today, we issued our press release announcing the financial results for our fiscal second quarter ended September 30, 2016. In Q2, Iteris recorded $24.1 million in total revenue, this constitutes 17% year-over-year growth and represents a new quarterly record for the Company. During the quarter we saw particularly strong acceleration and both our Transportation Systems and our Agriculture and Weather Analytics segments. Our Transportation Systems segment recognized $12.3 million in revenue versus $8.5 million in the prior year quarter, representing 46% year-over-year growth. In addition, the segment continued to win significant new business securing approximately $12.9 million in new orders and exiting the quarter with another quarterly increase in our 12-month backlog. We saw particularly strong demand in Southern California. Orange County awarded Iteris a $2.6 million integrated quarter management project. This project comes on the heels of the $2.1 million Orange County traffic synchronization project announced in July. We also secured a large new contract with the City of Anaheim and the County of Los Angeles. On a composite basis to the new backlog continue to represent an overall increase in average project size and a healthy mix of Cat based project work. Software related services and business process outsourcing. The segments focus on project mix over the past 12 months has produced significant segment level operating income expansion. The higher portion of software related consulting services and business process outsourcing backlog as well as the larger average project size continues to improve revenue predictability and other internal efficiencies. In Q2, the segment’s operating income was approximately $2.5 million or 21% of revenue versus $1.2 million or 14% of revenue a year ago. The 650 basis point improvement in the segment’s operating income margin demonstrates our approach is creating significant operating leverage. In Q2, the Roadway Sensors segment reported $10.9 million in sales. This represents a 6% year-over-year decline in revenue. The decline in year-over-year revenue was due to the timing of new product shipments are pushed into October delaying revenue recognition. Notwithstanding the approximate four week shipment delay, the segment continued to execute well and demand met expectations. In fact we've been very pleased with the response to both our new pedestrian measurement technology launched in August and our new dual-core processor released in October. PedTrax is the first of its kind innovation that applies computer vision technology to measure the count, the direction and the speed of the pedestrians in crosswalks and also to provide insight on levels of street life. Like PedTrax our new dual-core processor is state-of-the-art and provides the technical underpinning for a variety of planned future product innovations. During the period the segments ending backlog increased 18% ahead of prior year. California, the Southeast and the Northeast produced the strongest results. We benefited from a favorable product mix and as a result segment operating income dollars increased 8% as segment operating income margins expanded 300 basis points. In Q2 our Agriculture and Weather Analytics segment recognized over $800,000 in revenue. This represents a 51% year-over-year increase in revenue but an 18% sequential decrease. The sequential decrease was expected and due entirely to our ClearPath Weather product which experienced typical seasonality. Our digital agriculture platform ClearAg realized both year-over-year and sequential growth. You may remember that we launched ClearAg just over a year-ago and as you would expect we've been very focused on customer renewals and we are pleased to report a 100% customer renewal rate for the first half of FY2017. The product lines revenue growth was a function of both the strong renewal rate and several noteworthy new deals. For example in July we announced Syngenta selected ClearAg Mobile to assist its biologics research teams worldwide. Subsequently we secured additional business with Syngenta further demonstrating the effectiveness of our account management model. In September Proagrica part of Reed Business Information committed to a global subscription deal that enabled Proagrica to integrate ClearAg weather climatology and soil data into the Proagrica data analytics platform. With the addition of the Proagrica agreement we will have over 330 million wholesale acres under management across 16 different countries. We remain very enthusiastic about the opportunity in front of our agriculture and weather analytics segment. We continue to see strong pipeline growth and improved opportunity conversion for both ClearAg and ClearPath Weather. In each one bookings reached a record helping to drive a 38% increase from the beginning of our fiscal year and our annualized revenue run rate for the segment. Our annual run rate is now $4.7 million. In addition to solid commercial performance the team continued to make significant progress against our product roadmap. In July we launched ClearAg WeatherPlot which is a precision weather and soil analytics mobile application for seed and crop protection companies. In August we announced the ability of new harvest time management and storage analytics capabilities for ClearAg Mobile and only three weeks ago we announced the addition of crop growth models for two economically important crops, Sunflower and Sorghum. We have made significant progress with this segment in the first half of fiscal 2017. Now I'd like to turn the call over to Andy to walk through our financial results.
Andrew Schmidt: Thank you, Joe, and good afternoon everyone. As Joe's introduction showcases we had a great quarter. But more than that, this is truly been a breakout year for Iteris, while the company has spent the last several years investing in and building our digital agriculture business. We've also created a great future for our transportation businesses. We’re in the path of yet another year of record revenue results. Record revenue results for all of our business units and we have moved the company back to EBITDA positive performance, the first time in two years. In addition, we are reporting positive cash flow from operations and have used only $316,000 in cash overall in the first half of fiscal 2017 driven by minor CapEx requirements. We continue to make many changes to our business to create better visibility and to streamline operations. For example, this year we realigned our reporting segments to provide better visibility into our ag and weather analytics business. We will continue to make appropriate structural changes as we move forward. Another interesting indicator of our transition is our cover of our required disclosure of our past reporting of non-GAAP results. Results that adjust for atypical expenses such as our CEO transition, audit fee overruns of the past and financial consulting fees to support previous audits. These pro forma adjustments only apply to our fiscal 2016 results not our current fiscal 2017 results. We have moved past this transitional aspect of our business. Specifically, in terms of our comparative non-GAAP results, we previously reported $63,000 for executive management severance as a non-GAAP adjustments atypical expense in Q2 of fiscal 2016. There were no such costs in Q2 of fiscal 2017. As such our GAAP and non-GAAP adjusted net loss for Q2 fiscal 2017 was approximately $40,000, or $0.00 per share, as compared to a GAAP net loss of $395,000 or $0.01 per share and a non-GAAP net loss of $356,000 or $0.01 per share for the previous year period. From a year-to-date perspective, we had no non-GAAP adjustments related to atypical expenses to report for fiscal 2017 as compared to the following six month totals for the period ended September 30, fiscal 2016. $150,000 related to audit fee overruns, $161,000 for financial consulting services and $149,000 for executive management severance costs. Accordingly, our GAAP and non-GAAP adjusted net loss for a six month ending September 30 fiscal 2017 was approximately $79,000 or $0.00 per share as compared to a GAAP net loss of $587,000 or $0.02 per share and a non-GAAP net loss of $302,000 or $0.01 per share for the same period last year. Today's earnings release and related current report on Form 8-K describe how we calculate these non-GAAP financial measures and provided detailed explanation for our atypical expenses as well as a reconciliation between our non-GAAP financial measures they are most directly comparable GAAP measures. Okay, looking more closely at our Q2 results. Joe has provided some provided some great color commentary regarding our record Q2 revenue performance. We are certainly pleased with our revenue performance of $24.1 million. That said, we had equally impressive gross margin performance which is a testament to the quality of our revenues. Q2 2017 gross margins for Iteris were 39.3% as compared to 38.3% for the previous year period. By business, we saw gross margins of 47% for sensors, 32.2% for systems, and 43.6% for our ag and weather analytics business. Our strong gross margins led the way to solid operating margin results for our transportation business for use of $2.65 million for sensors and $2.55 million for systems. Our ag and weather business reported an operating loss of $2.1 million similar with the same period last year which was as expected due to the slow buildup of revenue recognition aspect of being in the SaaS revenue model. In terms of our corporate expenses, which include corporate IT, HR, accounting and executive expenses we saw expenses of $3.2 million for Q2 of 2017 which is up approximately $171,000 sequentially from our first quarter is due largely to legal fees associated with our extended proxy process which is currently coming to a conclusion. In essence, we have completed our build-out of our shared services for capabilities required to support the significant revenue growth of the business. Year-over-year operating expenses have increased $1.2 million. This is primarily headcount related to support three growing businesses as well as building our sales force and sales support of our digital ag business. All said, we feel that we are at the leverage point of our operating expense element of our business. We didn’t foresee a need to invest additionally in this area over the balance of the year. Year-to-date performance shows Iteris record revenues of $48 million as compared to $38.9 million in the same period last year. Gross margins of 39.3% as compared to 39.9% and total operating expenses of $19.1 million as compared to $16.5 million in the prior year period. Cash and cash equivalents of September 30, 2017 was $15.7 million as compared to $16 million at March 31, 2016. Cash produced by operations for our six-month ending September 30 was approximately $279,000. Capital expenditures and capitalization uses approximated $774,000 and cash proceeds are uses from stock options are misused provided approximately $179,000. Total company backlog at end the fiscal Q2 2017 was $65.8 million compared to $63.3 million at the end of fiscal 2016. Backlog at September 30, 2016 was comprised of $52.1 million from Transportation Systems, $7.3 million from Roadway Sensors and $6.4 million from Agriculture and Whether Analytics. In terms of housekeeping we expect to file or 10-Q within the next week. And this concludes my prepared remarks on the financials. I would like to turn a call back to Joe.
Joseph Bergera: Great. Thank you, Andy. So Iteris continues to capitalize on transformational trends in both transportation and agriculture. Indeed the team is advancing several innovation issues for Transportation segments while also developing a highly meaningful, high margins subscription model in the agriculture markets. We expect the progress we've made over the past 12 months to provide a strong platform for growth through FY2017. As mentioned last quarter our Transportation Systems businesses are experiencing an increase in demand for programs related to smart cities; taxable travel information; data analytics; and enhanced safety and mobility. We continue to see any increase in the number of our piece in each of these areas an increased amount of general activity for example conferences, client questions and press coverage in these areas. And an increase in the amount of funding against these areas from federal and local sources. We expect the segment to benefit from the shift in transportation infrastructure spending. through the end of FY2017. Given the strength of our backlog and that favorable impact to project mix on the segment’s operating margins. We will remain highly strategic about the new business we pursue. We'll continue to focus on opportunities that 1) enhance our franchise as the leading provider of applied informatics for the transportation infrastructure market, 2) enable us to leverage existing platforms and other toolsets, and 3) represent a sizable multi-year programs with a meaningful level of recurring revenue. In Q3, we will continue to pursue a number of strategic opportunities. Therefore the segments business development investment should remain similar to our Q2 investment level. As we enter the second half of FY2017 the Roadway Sensors segment is executing against our growth strategy per plan. We continue to develop select geographic markets focusing on select territories in North America and Latin America. Where we are currently under penetrated. We will continue to enhance our data collection capability which is already a strong point of product differentiation. And we will continue to develop new market categories that Iteris does not address today. We remain on schedule to introduce several new products in major feature before fiscal year-end. For example we intend to introduce a new cloud service for data aggregation and analysis we will extend our lineup of sensors with expanded video and radar capabilities. And we will add features to our industry leading web and mobile applications for intersection detection. While we recognize it will take a couple of quarters to develop and convert our new product sales pipeline. We remain confident about the increase growth opportunities these new products present. With the availability of these new products we expect adoption to drive the segments rate of revenue growth for the second half of fiscal 2017 above the historical average market growth rate of about 7%. Now let's discuss our Agriculture and Weather Analytics business [Audio Gap] vary among the sectors constituent groups. As we stated before ClearAg addresses three different constituencies or end markets, first crop science companies, second Allied providers and third growers and agronomists. We define crop science companies to include crop protection, crop nutrition, and genetics and biologics companies. The top 100 crop science entities are large multinational enterprises, most of which report more than $1 billion in annual revenue. Given the various profound market dynamics digital agriculture is now a competitive necessity for crop science companies. It drives supply chain optimization, accelerates new product development and product registration cycles and enhance the sales and marketing effectiveness. We believe ClearAg is the leading digital agriculture platform for crop science and we are experiencing an increase in our penetration rate within strategic accounts. At end of FY2016 we averaged just over one deployment per crop science customer. Whereas at the end of this fiscal year we expect to average between three and five deployments at each of our five largest crop science customers. As a frame of reference one deployment at a large crop science account involves dozens if not hundreds of users. Our established leadership position on the crop science market continues to create a virtuous cycle for Iteris. For example ClearAg’s visibility in this end market and a strong customer reference ability continues to produce an increase in inbound leads. At this time we believe ClearAg is in consideration for every competitive Digital Ag procurement taking place in the seed and crop protection market which is the largest portion of the crop science segment. While market dynamics are favorable in crop sciences, we do see softening demand from row crop growers and from Allied providers who are vulnerable to grower cycles. The current environment could be problematic for some ag tech startups that are solely focused on the U.S. row crop market. But we believe ClearAg has several paths to navigate this cycle. In fact we believe the current environment represents a window of opportunity for Iteris. Given the extensibility and the global reach of the ClearAg platform we will continue to concentrate on the crop science segment as well as selectively pursue opportunities and especially crop market which is outperforming the row crop segment. Although we will continue to make, although we will make some adjustments to our go to market plan, we remain very confident about the long-term opportunity for Iteris and agriculture market. We anticipate continued bookings growth in the second half of FY2017 and plan to continue to develop our ClearAg business. We believe our scientific and engineering capacity is sufficient to sustain current requirements to expect to prioritize investment against sales and marketing activities. To conclude in Q2 Iteris realized excellent positive momentum in our transportation systems and agriculture and weather analytic segments. Our systems segment successfully converted it’s sizable prior period backlog growth into nearly 46% revenue growth in Q2, while continuing to secure new business and further increase its backlog. Although we anticipate typical seasonality we believe this segments half over half growth will be similar in the second half of our fiscal year to what we realized in the first half. Our Sensors business maintained its significant market share leadership with a solid 18% increase in ending backlog. Although we did see a single-digit decline and recognize revenue due to a few week delay in shipments of our new dual-core processors. We subsequently started product shipments and we remain confident in these growth opportunity. We not only expect growth from our H1 product introductions, but we also expect over time to develop a meaningful revenue stream in new adjacent product categories such as the data analytic service I referenced earlier. Lastly, we are very excited about the growth opportunity in digital agriculture. We expect to realize continued acceleration in ClearAg revenue which should drive further growth in our agriculture and weather analytics segment. Given our expectation of continuing acceleration in both agriculture and transportation, we expect to continue to realize sufficient net margin dollars growth to more fully offset our annualized aquaculture investment going forward. In other words, we continue to anticipate our full-year net investment level to decline relative to FY2016. On a consolidated basis, operating results are expected to continue to vary somewhat from quarter-to-quarter due to the timing of investments due to atypical seasonality in our transportation segments. However, again we expect our full-year operating losses to decline as they have in H1 even as we continue to develop our digital agriculture business to its full potential. Now, I’d be delighted to respond to your questions and comments. Operator?
Operator: Thank you. [Operator Instructions] We will go first to Jeff Van Sinderen with B. Riley.
Jeff Van Sinderen: Hi, good afternoon. First let me say congratulations on your improving metrics. Maybe you can just touch a little bit more - I know you went through a lot in your prepared comments, but in terms of ag what do you believe is the most noteworthy in terms of the developments in the most recent quarter. And then I guess what sort of strategic milestones should we be looking for over the next few quarters in ag?
Joseph Bergera: Hi. Jeff this is Joe. Thank you. I’ll make couple comments and then Andy may want to chime in. So as I mentioned there are some major structural trends going on in that ag sector and a number of them are beneficial to ClearAg and a number of them are kind of favorable on that crop science segment. On the other hand there are some other trends in the short-term any way; we are creating some negative impacts on real crop segment. So we are making some minor adjustments to our go to market plan and that has resulted in a shift in some of the capacity that we're putting against different activities. Right now, we're very focused on trying to maximize our penetration in existing accounts while we start to focus more heavily on specialty crops. So at this point in time for the next quarter or two, my primary focus is going to be on existing customer penetration. And in that regard, I've been seeing very, very positive trends. As I mentioned, when we ended our last fiscal year - I know you know our fiscal year begins on April 1. We had just slightly over one deployment per major crop science customer because of the increase in account penetration and I now feel very confident that we will be averaging between three and five deployments per customer. That's going to create tremendous leverage for us because we're already inside those accounts; we've found that the level of effort to secure the follow-on work is substantially less than obviously to secure a new customer. And also as a reminder, our primary focus in the crop science market is only a small set of the very largest 15 crop science companies. So to the extent that we're able to secure, further secure our position, and embed ourselves with a highly strategic partner in five of the largest crop science companies and that will be a tremendous success. So that's what I would recommend that you guys focus on for the next couple of quarters and that's what I’m focused on right now.
Andrew Schmidt: Jeff, this is Andy. Just echoing what Joe said from a modeling perspective and decision perspective as we've mentioned we've been out now about a year. So we're seeing our first cycle of renewals, as you all know we pursued OEM model first versus let's say a retail model. We can get to all these different markets use different verticals as it comes. But we chose the OEM model first and it's really working. We have a 100% renewal which is the whole point as far as repeatable revenue and so on. But all of our renewals were up selling everyone and Joe had mentioned in his prepared remarks that we signed Syngenta and before we even get to the one-year mark they are already up sizing. So that's been a validation of our model, again very sticky, very strategic and now at this point, we are at that first point where we can actually say that well it's working.
Jeff Van Sinderen: Okay. That's helpful. And is there anything else we should be aware of in terms of lumpiness of revenues, I mean obviously you do have some seasonality and I know in the systems business there can be sort of lumpiness of contracts. Is there anything we should be aware of there as we're thinking about second half?
Andrew Schmidt: Sure. This is Andy. I will start. Again on the ag side as I just described as a SaaS model, we're not lumpy, we just need probably another five or six quarters before everything that we've signed start showing up in full strength if you will from a GAAP revenue perspective. So we'll continue building and catching up with all these deals we've signed over the next five, six quarters. And then in the transportation side, our Q3 always is our seasonal quarter. And again it's primarily weather related. And so when you look at all the work that both our transportation businesses do it slows down in the cold weather states just basically do accessibility.
Jeff Van Sinderen: Right. Okay. And then if we can turn to gross margin for a minute just wondering if there's anything we should look at there, you're starting to - you're getting some leverage points in your business which is great to see, so I’m just wondering if there's anything we should think about for gross margin?
Andrew Schmidt: Yes. Sure, well again if you take it business-by-business, I think what's really been impressive is as we've built our systems business obviously significant increase in revenue the margins are holding strong. And so we are buying the business, we are basically taking on very smart work for that business. In the center side, we're very strong this period which is a combination of our product sales associated with our distribution. Anywhere from 10% to 15% of their revenue is distribution related. And we are seeing in both sides the product and the distribution side very strong performance in terms of increased margin performance. And then on the ag side, as we’ve said before that's going to be a business that builds into a software looking model and 70 points maybe up to 80 points in gross margin. But right now the GAAP revenue where at the way it is. It's going to be hard to see that, again right now or in the 40's, we've been as high as 50, but $30,000 in the cost of the goods line right now will move it five points. So we need to get that GAAP revenue perhaps at the right level, let's call that again that five or six quarters and then you'll see that margin showing how it should show.
Jeff Van Sinderen: Okay. Great. That's helpful. Continued success. I’ll let someone else jump in. Thanks.
Joseph Bergera: Thank you.
Operator: We’ll go next to Mike Latimore with Northland Capital Markets.
Mike Latimore: Great quarter there. I guess just to be clear on the ag side, weather side a lot of the new bookings in growth would come from five key customers is that kind of the bottom line here.
Joseph Bergera: Well, that’s a starting point, we’re approximately at 20. Yes, so right now let’s kind of put the ball, some [indiscernible] we are right around let's say 25 customers. There are five right now that are the monsters again the [bearers] ofSyngenta, the Valent and so on that we continue pursuing longer sales cycle. And so you're going to end up with a bit of a portfolio look where the very, very large ones are again as we always said they started six figures and we look to build them up into the seven figures. And then we have medium sized and then perhaps some smaller ones that are very strategic that everyone up sells, everyone grows. But again our high focus will be as Joe had mentioned on the very large strategic players because that’s where we're going to get the lowest leverage.
Andrew Schmidt: So, Mike just to give you some additional color Proagrica is a sizeable transaction, it's a subscription deal where Proagrica is subscribing to ClearAg in order to embedded into their information solutions they provide to the agriculture market. That is not a crop science customer, but that's a sizeable customer. What I was trying - I didn't mean to suggest that all of our bookings growth will come from crop science but more what I was saying at this point in time given what we're seeing in the marketplace that is where we are squarely focused. We think that those companies have the strongest sort of economic wherewithal and that competitive pressure to make investments in digital agriculture right now and we really want to capitalize on that window of opportunity, so that's our primary focus. But we'll continue to pursue opportunities in other segments and that will impact our bookings that will help us grow bookings as other opportunities.
Mike Latimore: That makes sense. And then in terms of just kind of where you see the ag business. I assume you still view it as getting to about the size of the transportation business in five years?
Joseph Bergera: Yes absolutely.
Mike Latimore: And then in your backlog commentary you said Ag was $6.4 million of the backlog I believe. Is that backlog that you recognize over the 12 months or what timeframe…
Andrew Schmidt: Yes. That’s a 12-month backlog.
Mike Latimore: And then did you say that you expect total company OpEx to roughly be the same going forward in the couple of quarters is that what I heard or what kind OpEx guidance…
Andrew Schmidt: Yes. Again we are right around 3.2 and that's up a little bit due to as I’ve commented on non-recurring item but you know period to period we will have any type of business opportunity to have a couple of $100,000 non-recurring, but 3.2 is a level setting based on headcount and based on the normal run rate of business. So we feel that we're in the right spot and right spot now to actually leverage those capabilities.
Mike Latimore: Got it. And then just back I guess a little bit on seasonality, you mentioned there was some seasonality on the I think it was the ClearPath side you also said that and then you also said that, there is less seasonality on the ag side. So can you just sort of help clarify that a little bit in terms of seasonality both from a revenue standpoint in the weather segment as well as well potentially and on the booking side as well if there is any.
Joseph Bergera: Yes. So ClearAg is our platform for digital agriculture. And we provide weather, soil and crop health information and analytics to the agribusiness sector. ClearPath Weather is essentially the same underlying weather platform as we're providing to the agriculture sector. But ClearPath is targeted at transportation customers. And as a result ClearPath tends to have more seasonality or tends to have seasonality which we don't see on the ClearAg side.
Andrew Schmidt: Sure. Just structurally as Joe described our digital ag side subscription business it’s basically at a - the renewal rates were experiencing and it’s basically goes up and up and up. On the ClearPath Weather, it's more of a PO business where we're seeing that business grow in a nice manner, but it's seasonal in terms of some of our customers are going to be focused on winter weather conditions. And so that seasonal in terms of it might be a specific contract that we see year in, year out. But we earned revenue if you will during the winter months because that's when it's being highly utilized. So that's where we get into seasonality, it's almost to offset the transportation business where we are limited in the amount of work we can do during the cold season. ClearPath Weather were actually increasing revenue during the cold months because that's when it's in the high use.
Mike Latimore: And then just on the ClearAg platform, I guess so it doesn't sound like there's any sort of natural seasonality just from our working standpoint on the ClearAg side of thing?
Joseph Bergera: Only to the extent that we tend to see customers want to deploy ClearAg in order to utilize during cropping seasons, so that tends to be in the spring and in the fall. Now to the extent that we see broad based geographic adoption where we're in both the northern and southern hemisphere on somewhat of a balanced basis. Interesting that should kind of balance things out, but anyway as far as the revenue recognition goes because it's a subscription model we don't anticipate seeing the same seasonality in terms of recognized revenue. But at least now in the short-term, we do tend to see again bookings having some limited seasonality again because people want to make sure they have the product deployed in time to use that during the cropping season.
Mike Latimore: Thanks a lot. Congratulation.
Joseph Bergera: Thank you.
Operator: [Operator Instructions] With no further questions in the queue, I would like to turn the call back over to management for any additional or closing remarks.
Joseph Bergera: All right. Thank you, operator. We appreciate everyone's support and thoughtful questions. On the investor relations front, we will be presenting at the Benchmark Investor Conference in Chicago on December 1 and the Needham Annual Growth Conference in New York from January 10 through 12. So if you're attending these conferences, we hope to see you. We would encourage you to come see our presentation. In the meantime we look forward to updating you again on our continued progress when we report our results for the third quarter of fiscal year 2017. So with that, this concludes today's call. Thank you.
Operator: And again this does conclude today's conference. We thank you for your participation. You may now disconnect.